Operator: Ladies and gentlemen, greetings, and welcome to the Veeco Fourth Quarter and Full Year 2024 Earnings Conference Call. At this time, all participants lines are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Anthony Pappone, Head of Investor Relations. Please go ahead.
Anthony Pappone: Thank you, and good afternoon, everyone. Joining me on the call today are Bill Miller, Veeco's Chief Executive Officer; and John Kiernan, our Chief Financial Officer. Today's earnings release and slide presentation to accompany today's webcast is available on the Veeco website. To the extent that this call discusses expectations for future revenues, future earnings, market conditions or otherwise make statements about the future, these forward-looking statements are based on management's current expectations and are subject to the risks and uncertainties that could cause actual results to differ materially from the statements made. These risks are discussed in detail in our Form 10-K, annual report and other SEC filings. Veeco does not undertake any obligation to update any forward-looking statements, including those made on this call to reflect future events or circumstances after the date of such statements. Unless otherwise noted, management will discuss non-GAAP financial results. We encourage you to refer to our reconciliation between GAAP and non-GAAP results, which you can find in our press release and at the end of the earnings presentation. With that, I will turn the call over to our CEO, Bill Miller.
Bill Miller: Thank you, Anthony. 2024 was another successful year for Veeco. We reached several important milestones, grew the business, delivered solid profitability and strategically invested in several exciting long-term growth opportunities. Beginning with strategic milestones, as announced in a press release earlier today, we shipped an LSA system to a leading-edge semiconductor company for high-volume production of a 2-nanometer gate all around logic chips. We also reached an agreement to ship an LSA evaluation to a second leading memory customer in 2025, and we shipped a 300-millimeter gallon silicon evaluation system to Tier 1 power device customer with this customer having since provided positive feedback. Revenue from our semiconductor business reached another record in 2024, outperforming WFE growth for the fourth consecutive year. Our robust performance was primarily driven by record laser annealing revenue, including growth in LSA shipments to mature node customers as well as leading-edge shipments for high-bandwidth memory and gate all around. Another key driver of growth came from wet processing, where our system is production tool of record and 3D packaging for AI. While investing for growth is core to our long-term strategy, expanding profitability is also important. In 2024, we successfully grew non-GAAP operating income and EPS while continuing to invest in our largest SAM expansion opportunities. Switching gears to our full year financial highlights. Veeco delivered top and bottom line growth with results coming in above the midpoint of our updated 2024 guidance. Revenue totaled $717 million, growing 8% from the prior year led by a 13% year-over-year growth in our semiconductor business. Non-GAAP operating income grew 6% to $116 million and diluted non-GAAP EPS grew to $1.74. Now, before a look at our Q4 highlights. Revenue in the fourth quarter totaled $182 million, increasing 5% year-over-year. Non-GAAP operating income $27 million and non-GAAP EPS $0.41. Our semiconductor business delivered another solid quarter of revenue highlighted by record laser annealing revenue, including shipments to two leading-edge customers gate-all-around nodes. I'll now provide an overview of Veeco's role in the semiconductor manufacturing process as well as an update on key technologies driving business today. Veeco technologies are critical for several leading-edge semi-manufacturing process steps. Leading-edge customer road maps require the most advanced annealing solutions to address scaling challenges associated with shrinking geometries and new architectures. Device scaling with incumbent technologies is becoming more challenging. And as a result, the number of steps available to laser annealing in both logic and memory is increasing. Veeco is the market leader in laser annealing with our laser spike annealing system qualified as production tool of record for leading logic customers and one Tier 1 memory customer. Our recently launched next-generation NSA system expands laser annealing capabilities to enable precise anneals at a nanosecond dwell time, and is under evaluation at two advanced logic customers for several new applications. Veeco is also the industry leader in ion beam deposition for EUV mask blanks with our IBD EUV system, enabling deposition of defect-free films for EUV mask blank production. Our ion beam deposition technology is critical to the industry's road map and is expanding to adjacent mass blank steps as customers continue to explore new use cases. The growing need for energy-efficient compute is driving the semi road map to consider new materials and technologies to scale, optimize performance and reduce power consumption. As device geometries continue to shrink, incumbent technologies are struggling to lower resistivity, driving Tier 1 logic and memory customers to consider new solutions. Veeco's recently launched IBD300 system differentiates itself from incumbent technologies through its ability to preferentially deposit low-resistance metals. This can result in improved thin film properties and lower resistivity for critical metals in logic and memory, which directly impact device performance, speed and battery life. Looking ahead, we're highly focused on working with Tier 1 customers to integrate our technology into their manufacturing processes and evaluate new applications. In advanced packaging, our wet processing system is production tool of record at a leading foundry, HBM manufacturer and OSATs. Our system's ability to support challenging process capabilities has enabled our strong position in 3D packaging for AI, which drove strong growth in 2024 and expectations for growth to accelerate in 2025. And in advanced packaging lithography, capacity expansions in the AI and mobile markets have led to expectations of a recovery in 2025, driven by a broad range of customers. Our strategy in the semiconductor market has been focused on expanding our served available market by investing in core technologies to enable industry inflections. Veeco technologies have exposure to leading-edge inflections in logic, memory and advanced packaging, enabling technology transitions such as gate-all-around, high-bandwidth memory, EUV lithography and 3D packaging for AI. In annealing, we forecast our SAM to grow from approximately $800 million to around $1.3 billion. We expect this to be driven by an increase in laser annealing intensity as logic and memory customers adopt laser annealing to address new challenges. In ion beam deposition, we project our SAM to grow to approximately $350 million for high-value front-end semi applications requiring critical film performance. Growth in AI is accelerating adoption of new technologies and materials that enable device scaling and address the growing need for energy efficient compute performance. We believe our IBD300 system has unique capabilities that can address each of these high-value challenges. In ion beam deposition for EUV mask blanks, we project our SAM to increase to over $120 million as ASML expands EUV and high NA capacity, and customers adopt our systems for new applications. And in advanced packaging, we see SAM expansion opportunities for our enabling wet processing technology for an increasing number of applications supporting AI and high-performance computing. As we look ahead, we believe our portfolio of enabling technologies for key inflections positions our semi business to outperform WFE over the long-term. I'd now like to provide additional detail on our evaluation program. Our evaluation program is essential to expanding our position in logic and memory, and we're investing in several evaluation systems to capture our largest SAM growth opportunities. Many evaluations are targeting several applications, which can result in follow-on business between $30 million to $60 million per application win, assuming 100,000 wafer starts per month. While the timing of adoption by system, customer and market will vary, customers are excited about the value proposition our technologies offer, and we're highly focused on executing. With that, I'll turn it over to John for a financial update.
John Kiernan: Thank you, Bill. Starting with revenue for the year. Revenue came in at $717 million, increasing 8% over the prior year. Our semiconductor business delivered $467 million in revenue, up 13% year-over-year and comprising 65% of revenue. Growth in the semiconductor market was largely driven by our laser annealing and advanced packaging wet processing systems. Compound semiconductor revenue totaled $78 million, a decline from the prior year representing 11% of revenue. Data storage revenue totaled $99 million, increasing 12% year-over-year and comprising 14% of total revenue. And scientific and other revenue was $74 million, a slight decline from the prior year, making up 10% of revenue. Moving to revenue by region. China comprised 36% of revenue, up from the prior year, driven by growth in sales to semiconductor customers. Our Asia Pacific region, excluding China, made up 32% of revenue, led by shipments to semiconductor customers. United States totaled 23% of revenue, primarily driven by data storage customers. And lastly, EMEA was 9% of revenue for the year. Our order backlog ended the year at approximately $410 million, down approximately $80 million from the prior year, primarily attributed to our data storage business. Now, looking at our full year 2024 non-GAAP operating results. Gross margin came in at 43.3%, relatively consistent with the prior year. Operating expenses increased 8% to $194 million, primarily driven by an increase in R&D investment. Operating income increased 6% from the prior year to $116 million and net income increased to $104 million with tax expense of $15 million, yielding an effective tax rate of 12%, an increase from 10% in the prior year. Diluted EPS increased to $1.74 for the year on 61 million shares. I'll now provide selected GAAP full year data. Amortization expense was approximately $7 million, our equity comp expense was $36 million, depreciation, $18 million, and net interest income was approximately $2 million. GAAP net income of $74 million included a $28 million impairment charge, resulting from our silicon carbide business not meeting our market expectations. This charge was offset by a $21 million gain from a reduction in the estimate of contingent consideration and $12 million in related tax benefits, resulting in a net benefit of approximately $5 million. Turning to Q4 revenue by market and geography. Revenue came in at $182 million, up 5% from the prior year and down 1% sequentially. In line with our prior forecast, semiconductor revenue declined sequentially after a quarterly record in Q3, comprising 62% of revenue. In the compound semiconductor market, revenue increased from the prior quarter to $23 million, totaling 13% of revenue. Data storage revenue declined to $14 million, comprising 8%. And as previously expected, scientific and other revenue increased to $33 million from $12 million in the prior quarter, which included shipments for quantum computing and research applications. Scientific and other made up 18% of revenue during the quarter. Turning to quarterly revenue by region. The percentage of revenue from China increased to 39% due to an increase in semiconductor sales. Revenue from the Asia-Pacific region, excluding China, was 31%. The United States came in at 19% and lastly, EMEA was 11%. Switching gears to our non-GAAP quarterly results. Gross margin totaled approximately 41.5% below our guidance, driven by a shift in product mix and additional spending for our evaluation programs. Operating expenses totaled $48 million at the low end of guidance. Income tax expense was approximately $4 million, resulting in an effective tax rate of approximately 14%. Net income came in at approximately $24 million and diluted EPS was $0.41 on 60 million shares. Now, moving to the balance sheet and cash flow highlights. We ended the quarter with cash and short-term investments of $345 million, a sequential increase of $24 million. From a working capital perspective, our accounts receivable decreased by $35 million to $97 million, primarily resulting from the timing of when customer payments were due. Inventory increased by $5 million to $247 million, and accounts payable declined by $6 million to $44 million. Customer deposits included within contract liabilities on the balance sheet, decreased by $11 million to $49 million. Cash flow from operations increased from the prior quarter to $28 million, bringing our total for the year to $64 million and CapEx totaled $5 million during the quarter and $18 million for the year. Turning to our Q1 outlook. Q1 revenue is expected to between $155 million and $175 million. We expect gross margin of approximately 42%, OpEx between $47 million and $49 million, net income between $16 million and $22 million, and diluted EPS between $0.26 and $0.36 on 61 million shares. Turning to some additional color beyond Q1. Based on market conditions and our visibility, we expect Q2 revenue to be in a similar range to Q1 levels. I'll now provide qualitative commentary for each of our markets. Beginning with the semiconductor market, we continue to expect a decline in investment for mature node customers in China. Outside of China, growth in AI and high-performance computing is driving an increase in leading edge investment in areas such as gate-all-around, high-bandwidth memory and advanced packaging. As a result, we expect AI revenue to grow to 20% or more of revenue in 2025 from approximately 10% in 2024. We continue to advance our road maps in laser annealing, ion beam deposition and advanced packaging and are well-positioned to take advantage of growth in leading-edge investment. In the compound semiconductor market, we continue to see opportunities in solar and photonics, which provide potential for revenue growth beginning in late 2025 into 2026. We also remain excited for the potential to expand in GaN Power without 300-millimeter GaN on silicon solutions. In data storage, our expectations are for approximately $60 million to $70 million decline in revenue in 2025. And in scientific, we're continuing to see strength in research areas like quantum computing, which have the potential to provide growth in 2025. Before we turn the call over to Q&A, I'd like to highlight why we believe Veeco is a compelling investment opportunity. First, some industry analysts and leading equipment providers project growth of the semi-industry to over $1 trillion in the 2030 time frame, contributing to expectations for long-term growth in wafer fab equipment spending. Second, Veeco has a portfolio of enabling technologies that are increasingly critical for several leading-edge inflections. Third, we believe our exposure to several high-growth areas of the market can enable our SAM to grow faster than growth in WFE spending. And fourth, we expect our investment strategy and execution to generate long-term value for Veeco shareholders. With that, I'll now turn the call over to the operator to open up Q&A.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] The first question comes from the line of Charles Shi from Needham & Company. Please go ahead.
Charles Shi: Hi, Good afternoon. A couple of questions. I want to start with the China. I think that you guys provided that qualitatively China will decline this year. That's the same you've had for a while. But I want to ask about Q1, all the peers who reported before you, some of them seems to be guiding to flattish China in Q1, but some are probably seeing more of the immediate drop of the China revenue. So what do you see into Q1? And since I believe China probably accounts for a good amount of the backlog. Supposedly, you have good visibility of how much China can decline. Mind me if you give us a little bit more than quantitative and anything you can provide quantitatively, that would be great.
John Kiernan: Sure, Charles. I'm happy to do so. So we do have good visibility into the first half of China and backlog, and we expect our China revenue in the first half of 2025 to be about 25% to 30% of total revenue, down from last year, China for the full year, it was about 36% of our total revenue with that slightly more weighted to Q1 than Q2.
Charles Shi: Got it. Thanks, John. That's very helpful color. The other question I do want to ask you more on the advanced packaging side. I did notice you talked about the wet processing product, and it looks like you already saw strong growth for last year. You think it will accelerate in 2025? Mind if you provide us a little bit more color on what's driving that and maybe a little bit more quantitatively, do you see more of the acceleration in the first half in the more immediate quarter or you're seeing something more coming up in the second half of the year?
Bill Miller: Yes. Good afternoon, Charles. We're really excited about the advanced packaging opportunity. We see this as an opportunity doubling in 2025 over 2024, and that's largely driven by wet processing. So we're really kind of benefiting from capacity expansions at a leading foundry and HBM manufacturer as well as multiple OSATs. And so we see this as a multiyear opportunity. And also in litho, our business in 2024 was pretty modest, and we're seeing that business pick up with a lot of breadth in advanced packaging as well. So as I said, our advanced packaging, including wet processing predominantly and secondarily, litho is doubling. So maybe from $75 million to $150 million.
Charles Shi: That's a full year comment, right? $75 million to...
Bill Miller: Yes.
Charles Shi: Okay. Any color on….
Bill Miller: Yes. I would say, John, it's ramping, but it's going to probably continue to grow from Q1 into Q2 and Q3, I think through the year.
John Kiernan: Yes. And so we entered the year with a good backlog. And maybe, Charles, this ties back to your first question a little bit as well about visibility into the backlog. We're entering 2025 with virtually the same backlog in semiconductor that we started year with. So the backlog is flat. But the composition in the backlog is different. So at the beginning of the year, we had a higher concentration of backlog in -- with our China customers for their mature business. As we enter 2025 a higher concentration and an increase in the semi backlog comes from area like two-nanometer gate all around and advanced packaging. So we've got a reasonable visibility there as well.
Charles Shi: Thanks. I really appreciate the color. Thanks. I will be back in the queue.
Bill Miller: Thanks, Charles.
John Kiernan: Thank you, Charles.
Operator: Thank you. The next question comes from the line of Rick Schafer from Oppenheimer. Please go ahead.
Wei Mok: Hi. This is Wei Mok on the line for Rick. Thanks for taking my question. Congrats on your NSA shipments. This customer looks like it's separate from the other two customers that you currently have on the NSA evaluation program. So I was wondering, has this customer been on the EVA program before? Or -- and what are you going to comfort and the decision to make this purchase ahead of the other two that are still on eval?
Bill Miller: So this shipment came as part a multi-tool laser system order from this customer in 2024. And their goal is to enter the market kind of at the 2-nanometer gate all around. And so this was not -- this is a new customer for us, but we did not provide an evaluation tool. So this is a straight sale. So we're now qualified at all for, if you will, advanced logic customers for gate all around nodes for LSA. And we expect growth in gate all-around to really ramp in 2025 with these customers. And I guess I'll just circle back on the NSA eval since you mentioned it. Those evals are going well, and we're actually looking -- the customers are looking at us for multiple applications.
Wei Mok: Great. Thanks. I appreciate that. I just wanted to go back to a question on China. I know in the past, you guys commented on seeing China exposure normalizing to around 20% or getting back there. So in light of the export restrictions and everything parts, so I guess you're not seeing any direct impacts on that in the first half of the year. So is it fair to say that you're seeing more of that coming in, in the second half of the year? And anything has changed with that 20% China bogey, could it be lower? Thanks.
John Kiernan: So thanks for the question, Wei. So, yes. So what we've seen from changes in regulations, it really didn't have an impact to our near-term view on China. We didn't have backlog with customers that were added to the entity list for systems backlog, nor did any regulations come out that change licensing requirements for our products. So in the near term, not an impact, long-term view of regulations, how regulations may change and what the impact there is. Our view on China had been that we were seeing less of these new opportunities or new fabs and new projects coming being funded or invested in. And that's what had us say that we see business slowing down for China as equipment purchases over the last couple of years get digested and that we have good visibility for about half a year. So we see, as I said in an earlier question that we see about 25% to 30% of our total revenue coming from China in the first half of the year and a lesser number in the second half of the year.
Wei Mok: Great. Thank you.
John Kiernan: Thank you, Wei.
Operator: The next question comes from the line of Mark Miller from Benchmark. Please go ahead.
Mark Miller: I'm just wondering if you can provide some more color on high-low memory, specifically high bandwidth memory. And also NAND reported very strong sequential improvements in shipments to the NAND customers. I'm just wondering what you're seeing, if you're seeing anything in NAND?
Bill Miller: We don't have any position in NAND, Mark. I would say we're at the point with our nanosecond annealing system where doing some preliminary demos in NAND, but we haven't placed an eval at this time. So really not much exposure there. And in high bandwidth memory, we actually have -- we are a production tool of record with our LSA systems with one DRAM customer, and we've been able to win their logic die and then the peripheral logic on each level of the high-bandwidth memory stack. I think we just announced on our call here that we have an agreement with the second DRAM customer, and we'll be placing an eval probably midyear, mid-2025. And I would say, as I look at -- as the business continues with HBM in 2025, and we were shipping volume in 2024 as well.
Mark Miller: Okay. Thank you.
Bill Miller: Thank you, Mark.
Operator: Thank you. The next question comes from the line of Gus Richard from Northland Capital. Please go ahead.
Gus Richard: Yes. Thanks for taking my question. On the LSA, I want to make sure I understand. Have you been qualified for gate-all-around with LSA?
Bill Miller: Yes. All the customers were qualified for the gate-all-around.
Gus Richard: Okay. And then is NSA being looked at by the logic guys for is the incremental application backside power?
Bill Miller: They're looking at a number of applications for more kind of -- extending more traditional front side annealing. And they've also looked at backside as well. They're looking at a few different applications there. And I guess just to circle back on your gate-all-around question there. When we look at growth drivers in 2025, we see gate-all-around really starting to ramp. And we think gate-all-around is a potential to double for us in 2025 over 2024 that would compensate for some of the China headwinds that John was mentioning a little earlier.
Gus Richard: Got it. And then just in terms of your hard disk drive revenue at this point, I'm assuming that, that is just purely spares and service?
Bill Miller: Yes. Yes, correct. That's -- we didn't really have any significant systems bookings in 2024. And given our lead time, that window is closed on 2025 systems revenue.
Gus Richard: Got it. And then -- and I guess just because nobody else will ask. On the scientific and other, I mean, there's always a budget flush in the fourth quarter. You had a very strong quarter there. Are you kind of looking at a similar revenue range? Or is quantum computing really starting to drive a little more incremental demand for tools that address that market?
Bill Miller: Gus, I would say we are seeing an increase in quantum computing activity year-over-year. So these are larger systems. And so they're going to show up kind of lumpy in our numbers, whether we have a system or two or we don't on top of or base scientific business. So we're forecasting our scientific segment to grow in 2025
Gus Richard: Okay. And I'm assuming that's molecular beam epitaxy?
Bill Miller: Correct, yes. And they're kind of Frankenstein-type tools. It may have an ALD off the side of it, but largely they're predominantly MBE with modifications.
Gus Richard: Got it. So the price tag is more than single-digit millions?
Bill Miller: They -- when they're all packaged together, they can be over $10 million. They may come in a separate bits, but yes, they are big opportunities. That's why they're pretty lumpy.
Gus Richard: Got it. All right. Thank you very much.
Bill Miller: Thank you, Gus.
Operator: Thank you. The next question comes from the line of Dave Duley from Steelhead Securities. Please go ahead.
Dave Duley: Yes. Thank you very much for taking my question. I guess just to start with, you talked about the first half of the year. Could you give us an idea what you think for total revenue is first half versus second half? And then the same thing for semi. That would be very helpful.
John Kiernan: So, yes. So Dave, let me try to cover that by the markets for the full year. And I'll start with data storage. So as we indicated, we expect that the data storage revenue to be down about $60 million to $70 million year-on-year, representing -- we don't have expectations for shipping systems to customers, and it's just a service and aftermarket business there. If I look at the semiconductor market, there's really, as we've described on this call so far, really two elements to the semiconductor market for 2025. And we do see the opportunity for that market to have growth in 2025. On the one side, we have expectation the China business will be down. On the other side, Bill has mentioned that we have expectation that our advanced packaging business and our business supporting gate-all-around has the opportunity to double. So you take that into consideration, we see the opportunity for growth in the semiconductor business despite the China headwinds. And then in the compound semi side, we are coming off low volumes in 2024. We do see some opportunities in solar and photonics providing the opportunity for revenue growth in the second half of the year in the compound semi side. And as Bill just mentioned, the expectation with strength in areas like content computing, on the scientific side that we do see opportunity for growth there. So I'd say, Dave, we're not making a quantitative call on the full year and a first half versus second half there. But that's our view of the markets for 2025.
Dave Duley: Okay. And essentially, you've already kind of taken the down draft in the hard disk drive business. So, now all these moving parts really comes down to the semi growth outside of China versus the semi decline inside of China. Is that kind of...
Bill Miller: Correct. And I think when you melt those together, our view, that's flat to up.
Dave Duley: Okay.
Bill Miller: And it's clear the first half to second half, we're going to -- it's not totally clear yet how that's going to go.
Dave Duley: Okay. And then there's been a lot of chatter on HBM spending. Some customers seem to have been qualified and are moving forward with spending and some others aren't. In total, what would you expect your HBM business to do in 2025 versus 2024? I can't remember if you've actually quantified how big it is. If you could help us understand how meaningful it is, that would also be great.
Bill Miller: Yes. I would say, we've been shipping high-bandwidth memory laser annealing tools to one customer where we are qualified, and our view is that will remain robust for 2025. And as I said, we're just entered into an eval agreement with the second customer, and that tool is going to ship in middle of 2025. So that's not going to have any revenue impact on 2025. So I would say our HBM revenue is nearly flat and steady with this one customer.
Dave Duley: Okay. And then as far as the NSA evaluation or really when you start to see NSA ramping into volume production, will -- are some of these applications -- help us understand how much of it is truly additive and how much is somewhat candlestick from applications that that you've already won would have been addressed by an LSA tool?
Bill Miller: A lot of the -- I would say, 80-plus percent are probably incremental. There's a lot of applications where we're doing material modification, because we're only modifying the top shallow surface of the structure and not heating up the whole structure. So the way the machine operates is a lot different than our traditional laser annealing system. What we are seeing though in some gate-all-around applications where there'll be an incremental step for gate-all-around annealing that could be nanosecond annealing and we'll keep the laser annealing steps. There will be possibly an incremental step there. So what I would say to the first order, it's largely incremental, not cannibalistic.
Dave Duley: Okay. Thank you.
Bill Miller: Thank you, Dave.
Operator: Thank you. The next question comes from the line of Mark Miller from Benchmark. Please go ahead.
Mark Miller: I just want to revisit where you're at in the ion beam for thin tungsten films. And I believe you were in two customers, anything new there?
Bill Miller: Yeah. We have two tools at DRAM memory makers. We're continuing to work with them. We're probably going to continue that through 2025. There's a lot of customer engagement. And as you know, Mark, this is a pretty exciting opportunity to put the fourth deposition technology into the fab, which is pretty exciting. And as I said, the customers are engaged. We're jointly working together through integration issues, downstream integration issues to incorporate the ion beam deposition system into their production line. So I would say, I expect that evaluation to continue throughout 2025 at both customers with high engagement.
Mark Miller: Can you give us an estimate of the potential for follow-on orders in that business?
Bill Miller: Yeah. We see -- for memory type applications per 100,000 wafer starts, it's probably $30 million to $40 million per application per node per customer.
Mark Miller: Thank you.
Bill Miller: Thank you, Mark.
Operator: Thank you. The next question comes from the line of Dave Duley from Steelhead Securities. Please go ahead.
Dave Duley: Yeah. I wanted to just slip one more question in here. Regarding the gross margins through the first half of the year and perhaps in the second half, given the mix that you expect from all your segments. You sound like you have a pretty good idea about the directional pieces of the business. How should we think about gross margins progressing through the year?
John Kiernan: Yeah. So that's a good question. Thanks, Dave. Yeah, we expect -- we ended 2024 for the full year with 43% gross margin and our expectation for 2024, that gross margins would be more in the 42% range. And the principal reason for that is as we see lower revenues coming from China customers and data storage customers, that gives us a mix headwind to gross margins because they typically have higher gross margins for those product lines. And then we see additional business coming from the advanced packaging area and the back end typically has a bit lower margins there. We have a number of gross margin improvement initiatives that we have going on to partially offset the impact of the product mix as we improve manufacturing efficiencies, efficiencies and installing, warranting our tools and other efficiency objectives there. But as we see it now, Dave, we're seeing gross margins closer to the 42% range coming into 2025.
Dave Duley: And will -- do you think that 42% goes down with the mix of business as far as China dropping and there's basically no hard to drive business -- systems business?
John Kiernan: Well, that's what I'm saying. That's the principal reason that we're seeing and calling about a 42% gross margin for 2025 coming down from about 43% in 2024.
Dave Duley: Okay. Thank you.
John Kiernan: You’re welcome.
Bill Miller: Thank you.
Operator: Thank you. As there are no further questions, I now hand the conference over to Bill Miller, CEO, for his closing comments.
Bill Miller: I'd like to thank our customers and shareholders along with the Veeco team for their continued support. Have a great evening. Bye.
Operator: Thank you. The conference of Veeco has now concluded. Thank you for your participation. You may now disconnect your lines.